Operator: Welcome to the Fourth Quarter 2014 Summit Midstream Partners, LP Earnings Conference Call. My name is Christine and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Marc Stratton, Vice President and Treasurer. You may begin.
Marc Stratton: Great. Thanks Christine and good morning, everyone. Thank you for joining us today as we discuss our financial and operating results for the fourth quarter of 2014. If you don't already have a copy of the earnings release that was issued yesterday afternoon, please visit our website at www.summitmidstream.com where you will find it on the homepage or in the News section. With me today to discuss our quarterly earnings are Steve Newby, our President and Chief Executive Officer; and Matt Harrison, our Chief Financial Officer. Before we start, I'd like to remind you that our discussion today may contain forward-looking statements. These statements may include, but are not limited to, our estimates of future volumes, operating expenses and capital expenditures. They may also include statements concerning anticipated cash flow, liquidity, business strategy, and other plans and objectives for future operations. Although we believe that the expectations reflected in such forward-looking statements are reasonable, we can provide no assurance that such expectations will prove to be correct. Please see our 2013 Annual Report on Form 10-K as updated and superseded by our current report on Form 8-K filed with SEC on July 3, 2014 as well as our other SEC filings for a listing of factors that could cause actual results to differ materially from expected results. Please also note that on this call we will use the terms EBITDA, adjusted EBITDA, distributable cash flow and adjusted distributable cash flow. These are non-GAAP financial measures and we've provided reconciliations to the most directly comparable GAAP measures in our earnings release. With that, I'm going to turn the call over to Steve Newby.
Steve Newby: Thanks, Marc. Good morning, everyone, and thanks for joining us on the call. I'll begin by discussing our fourth quarter highlights and our forward outlook for each area, then I'll turn it over to Matt for additional details on our fourth quarter financial results. I'll then end the call with some comments on our 2015 outlook and revised guidance before turning the call over for Q&A. Yesterday we announced our financial and operating results for the fourth quarter and full year of 2014. For the quarter we reported adjusted EBITDA of $48.9 million, which was up $2 million or 4.2% over the fourth quarter of 2013. Adjusted distributable cash flow for the fourth quarter of 2014 totaled $35.1 million, which was flat to the comparable period in '13 primarily due to $3.5 million of higher interest expense associated with our $300 million senior notes offering in July '14. On January 22, we announced our fourth quarter distribution of $0.56 a unit, which was 16.7% increase over the fourth quarter of '13 and 3.7% increase over the third quarter of '14. Our distribution coverage ratio for 2014 was 1.07. We reported a record 1.5 Bcf a day of volume throughput in the fourth quarter of '14, up 2% over the third quarter. We continue to see strong volume growth at Mountaineer during the fourth quarter along with steady volume growth across our Bison and DFW Midstream Gathering Systems. Together growth from the Mountaineer, Bison and DFW Systems help offset a 4.3% volume decline on our Grand River system versus the third quarter '14. I'll go into greater detail in each asset later in my comments. Since releasing our initial 2015 adjusted EBITDA guidance in early November, commodity prices have decreased anywhere from 30% to 50%. It is because of this decrease in the CapEx reductions at our customers have announced that we are lowering our 2015 adjusted EBITDA guidance by approximately 9% to a new range of $195 million to $210 million. The reduction in guidance is split evenly between the small amount of direct commodity price exposure that we have in our business and the expected reduction in drilling activity around our systems due to producers reducing their 2015 CapEx budgets. We have structured our business with a high level of MVCs and fee based revenues. However, we estimate based upon $55.00 crude oil and $2.75 natural gas for 2015 approximately $10 million of our original 2015 adjusted EBITDA guidance will be directly impacted by the significantly lower commodity price environment. Our direct exposure comes from our POP contracts in our Bison Midstream system in the Bakken, our POP contracts within our processing assets and our legacy Red Rock systems in the Piceance and then we also had direct commodity price exposure associated with the exposure associated with the sale of condensate that we retained from our Grand River operations in sale for our own account. Additionally, we estimate that another $10 million of our original 2015 EBITDA guidance will be indirectly impacted by commodity prices. This includes areas where our customers are flowing to other minimum volume commitments or have no minimum volume commitments and lower upstream CapEx budgets translate into lower volume throughput on our gathering systems. Again, accounting for the direct and indirect exposure, we're lowering the midpoint of 2015 adjusted EBITDA guidance by approximately $20 million or 9%. Before I discuss each of the SMLP assets in greater detail, I'll make a few comments on the recent activity at Summit Investments our GP development company. Activity levels continue to remain high at Summit Investments as evidenced by our December 2014 announcement related to the development of a new 1.5 Bcf gas gathering system for XTO Energy in the southeastern corner of the Utica Shale. Going forward we will refer to this asset as Summit Utica. It is important to note that Summit Utica is wholly owned and operated by Summit Investments and is outside of our Ohio gathering joint venture with MarkWest Utica EMG. This $400 million organic project is already underway and the acreage is being actively drilled by XTO. We expect the backbone of this system to be built out over the next 12 months and expect the connection of additional pad sites to drive volume growth as construction progresses throughout 2015 and 2016. We're also actively involved in a number of discussions with various producers in the area and we expect to announce new customers in this system over the next couple of months. We continue to be very excited with our growing position in the Utica Shale and we look forward to partnering with XTO in this important play. Our Bakken Shale development projects continue to progress forward and we continue to be encouraged by the level of volume growth and drilling activity we're experiencing around our systems even in today's low commodity price environment. We believe that lower commodity prices will force producers to high grade their drilling activities towards their highest return acreage and we're already seeing this. Our polar system in Williams County is in what we believe is a core area of the play and is seeing steady drilling activities to date. Our Divide system in Divide County sits in a core area of the Three Forks play where our anchor customer SM Energy is actively drilling and has had very good success. Some specific highlights from our Bakken systems during the fourth quarter include, we amended and significantly expanded a crude oil gathering agreement with one of our anchor customers on the Polar system in December to further expand our receipt points and gathering services. That expansion is currently underway. We also commenced operations in our Tioga Midstream asset for Hess during the quarter. As we have mentioned before, this is a multiyear build out for Hess, but we're excited to bring our first production to market in the fourth quarter. With the recent expansion of our Bakken Shale gathering assets and the recent announcement of Summit Utica, we have increased our total inventory of assets under development at Summit Investments to over $2 billion. We plan on dropping the vast majority of these assets into SMLP over the next three years as stated by our dropdown guidance reflects range of $400 million to $800 million of transactions per year through 2017. We believe that these dropdowns will serve as a catalyst to accelerate distribution growth over the long term at SMLP. I'd also remind everyone that we expect some of the $2 billion of development capital to actually be spent by the MLP after we drop the assets down. So the assets will be dropped down with remaining growth capital associated with them. Now for the MLP and further discussion around each area. As I mentioned earlier, our total average throughput for fourth quarter of '14 was 1.5 Bcf which was up 2% over the third quarter. The largest driver of volume increase was our Marcellus asset Mountaineer Midstream which averaged 459 million cubic feet in the fourth quarter up 10% over the third quarter. Mountaineer volumes continue to growth throughout the fourth quarter of 2014 as third-party compressor stations located upstream of Mountaineer's gathering systems were commissioned which unlocked new sources of production from Antero. As we look out to 2015, our guidance reflects continued volume growth in the Mountaineer system through the second quarter before volumes begin to moderate as a result of Antero's announcement to reduce its drilling activity in the Marcellus and concentrate its 2015 expenditures in Western Doddridge County. At Bison, we are encouraged by our fourth quarter operating performances volumes to average 22 million cubic feet a day, representing an increase of 6.4% over the third quarter. We saw good growth throughout 2014 with volumes increasing every quarter since the first quarter where volumes averaged 12 million cubic feet a day. Volume throughput at Bison has primarily come from our most active customer Oasis and we continue to have MVC protection from our other anchor customer EOG. We invested heavily at Bison in 2014 both with new compression assets to increase throughput capacity and with maintenance capital to increase the reliability of this system. By the end of the first quarter of 2015 we expect to commission two additional compressor stations which will further reduce field pressures and provide us with additional capacity. Given where current commodity prices are, we do not expect significant drilling activity in the Bison system in 2015. Our revised guidance contemplates volumes to decline from 22 million cubic feet a day in the fourth quarter to the upper teens range in the first half of '15 and then hold relatively flat throughout the second half of the year. We also expect our margins associated with our partner [ph] will be negatively impacted by current commodity prices which is a primary reason for revising our adjusted EBITDA guidance. Our DFW total volumes for the fourth quarter averaged 372 million cubic feet a day which was up 0.5% over the third quarter of '14. The Texas Energy Midstream acquisition which was completed at the end of the third quarter added approximately 80 million cubic feet of incremental volume throughput during the fourth quarter and helped offset declines related to several large pad sites that were offline during much of the quarter for drilling and completion activities. Several of these pad sites recommenced production late in the fourth quarter and in December DFW volumes averaged more than 400 million cubic feet a day. We also had our mandatory shutdown in the fourth quarter at DFW for two days which negatively affected our volume during the quarter. As we look into 2015, our guidance contemplates volumes stabilizing at DFW in the 375 million to 400 million cubic feet a day range as completion activities at several additional pad sites are currently shut in or finished volumes come back on line. Our Grand River which includes the Red Rock assets acquired from a subsidiary of Summit Investments in the first quarter of 2014, volumes averaged 638 million cubic feet a day in the fourth quarter which was 4.3% lower than the third quarter of '14. Our fourth quarter of 2014 results reflected being consistent with the third quarter at Grand River with declines from Encana's reduced drilling activity being partially offset by growth from WPX's increased activity in the legacy Red Rock service area. We expect the same to continue throughout '15. We currently expect that Encana will continue to suspend its drilling activities in the Piceance under the JV agreement with Nucor [ph] in our area for 2015 before picking back up in 2016. As a result, our revised 2015 guidance reflects continued volume declines related to their inactivity. We do expect our other customers in the Piceance, namely WPX, Black Hills and Ursa to continue to be active albeit at a slower pace than in 2014. Further, we remain highly contracted in this area. Our anchor customer MVC is increased in January and through 2018 average over 725 million cubic feet a day versus our reported fourth quarter volume of 638 million cubic feet a day. So with that, I'll turn it over to Matt to review the quarterly financial results in more detail and then I'll conclude our formal remarks.
Matt Harrison: Thanks Steve. I will cover the results of Summit Midstream Partners, LP or SMLP. Adjusted EBITDA for the three months ended December 31, 2014 was $48.9 million compared to $46.9 million for the three months ended December 31, 2013 an increase of approximately 4%. The $2 million increase in adjusted EBITDA was primarily due to the increase in volumes throughput on the Mountaineer Midstream and Bison Midstream systems. Also certain of SMLP's gas gathering agreements on its Grand River System contain annual MVCs and gathering rates that increased in the beginning of 2014. Adjusted EBITDA in the fourth quarter of 2014 included approximately $12.3 million related to MVC mechanisms from our gas gathering contracts. This amount included $19.5 million of MVC shortfall payments that are recognized as gathering revenue, $13.9 million associated with a net increase in deferred revenue related to MVC shortfall payments offset by $21.1 million associated with quarterly adjustments related to annual MVC shortfall payments. Additional detail regarding our MVCs is included in the fourth quarter earnings release. SMLP reported a net loss of $37.7 million for the three months ended December 31, 2014 compared to net income of $21 million in the fourth quarter of 2013. SMLP reported a net loss of $21.2 million for the year ended December 31, 2014 compared to net income of $53.3 million for the year ended December 31, 2013. Net income for the three months and the year ended December 31, 2014 included non-cash charges recorded in the fourth quarter of 2014 including a $54.2 million goodwill impairment charge related to our Bison Midstream system. Recall that SMLP paid approximately $250 million for the Bison Midstream system in a dropdown transaction in June 2013. Given the new onsets of accounting for entities under common control, the Bison Midstream assets were actually dropped into SMLP at a carrying value which approximated $305 million as of June 2013. In connection with the sharp decline in commodity prices in the fourth quarter, we reassess the carrying value of the Bison Midstream assets and compare that to its fair value including goodwill. As a result of this evaluation, we recognized $54.2 million non-cash goodwill impairment charge. Also SMLP recorded $5.5 million non-cash asset impairment charge related to its DFW Midstream system in the fourth quarter. This charge relates to a new compressor station project that was terminated and replaced with a more cost effective pipeline looping project, which came about in the fourth quarter of 2014. Adjusted distributable cash flow totaled $35.1 million in the fourth quarter of 2014. This implies a distribution coverage ratio of one times related to the fourth quarter distribution of $0.50 per limited partner unit which we paid on February 13, 2015. For the full year our distribution coverage ratio was 1.07 times. CapEx for the fourth quarter of 2014 was approximately $24.2 million of which $1.8 million was classified as maintenance CapEx. We had $208 million of debt outstanding under our revolving credit facility at December 31, 2014 resulting in a borrowing capacity under our $700 million credit facility of $492 million as of December 31, 2014. Total leverage at December 31, 2014 was 3.9 times. As Steve mentioned, SMLP has revised 2015 adjusted EBITDA guidance from a range of $215 million to $230 million down to a range of $195 million to $210 million. The 9% reduction in the midpoint from early November's guidance is a result of the 30% to 50% decline in commodity prices since releasing our initial financial guidance. This revised guidance reflects management's expectation of a direct and indirect exposure to a 2015 price gap of $55 crude oil and $2.75 natural gas. With that I'll turn the call back over to Steve.
Steve Newby: Thanks Matt. To just to reiterate what Matt said, in light of the current commodity price environment and lower expected drilling activity as a result of this price backdrop we're revising 2015 to a new range of $195 million to $210 million. This new adjusted EBITDA guidance is based on recent strip pricing of $55 per barrel for crude oil and $2.75 per MMBtu for natural gas. As a result of the lower guidance we're reducing our 2015 distribution growth from our existing SMLP assets to a new range of 3% to 4% excluding dropdowns with dropdowns, which we still expect at a pace of $400 million to $800 million annually through 2017. We expect high single digit distribution growth for 2015 and that's measuring fourth quarter of '15 over fourth quarter of '14 distributions. I would guide everyone to the lower end of the range of the dropdown guidance for '15 given current market conditions. This is more of a timing issue related to development pace of the assets at Summit Investments than any change to overall strategy. We still expect the current development pipeline to be largely dropped into the MLP within the next three years and we still have a very supportive sponsor, GP Sponsor to make that happen. To be clear our revised 2015 adjusted EBITDA guidance in distribution growth does not include the impact of any asset dropdowns from Summit Investments to the MLP. When those drop downs occur we will revise our guidance accordingly. With that, I'll open it up for questions.
Operator: Thank you. [Operator Instructions]. And our first question is from Praneeth Satish of Wells Fargo. Please go ahead.
Praneeth Satish: Hi good morning. Just a couple of quick questions, I guess first, can you just talk, provide maybe a little bit more clarity on the pace of dropdowns this year? I think previously the thought was to do two dropdowns, is that still the case and maybe kind of what assets would you say are closer to being dropped down versus others?
Steve Newby: Hey Praneeth, it's Steve. I think two is probably still directionally the right way to go and then I don’t think our thoughts around what really, has really changed. I think our crude oil system in the Bakken is probably the most developed and we actually feel good about what we've seen here over the last three months and how the impact to that system or the lower amount of impact to that system. So I think that area is still ripe and I think the Polar system particularly which is in the core area in Williams County. And then I think we've guided pretty consistently that we thought the earliest that our OTC system or pieces of our OTC system would be ready would be late '15 and then that will come down probably multiple pieces through '16.
Praneeth Satish: Okay, and then I guess when we think about the multiple on the dropdowns, I mean given the uncertainty in producer drilling plans and volume growth, could the multiple be lower than past transactions to reflect this uncertainty, I guess how should we think about that?
Steve Newby: Yeah, I think I would put it that our strategy is to try to hand over development and ramp up risk at the GP and also when those assets come down to the MLP they are going to come down reflective of current market conditions and market prices, based upon current market conditions. So, that's how I would phrase that and I think we have a very supportive General Partner, who also owns a very large amount of units as well too. So the alignment of interest is pretty good there.
Praneeth Satish: Okay and then just last question for me. As you kind of look across your asset footprint and the operating environment, are you seeing any flexibility on the operating costs side or maybe small debottlenecking projects and if the answer is yes, how much of that is built into your guidance if at all?
Steve Newby: You know, I would say some, unlike some of our peers that come out, I think we run pretty lien anyway and try to even in good times we try to control cost as much as possible. So I wouldn't expect us to have sort of 15%, 20% type cost reduction. I just don’t think we've gotten to that point to be able to win that out if that makes sense. There are some cost reductions that we'd be able to do. I don’t, I wouldn’t and they are imbedded in our revised guidance, but for us it's more around the edges than anything significant.
Praneeth Satish: Okay, thank you.
Steve Newby: Thanks.
Operator: Thank you. Our next question is from Helen Ryoo of Barclays. Please go ahead.
Helen Ryoo: Thank you. Good morning. Hi Steve, you mentioned some of the assets may be dropped down with development projects executed at the MLP level. Has there been some change in thoughts regarding how much sort of more development projects the MLP would take versus at the Summit level given the new environment or is it?
Steve Newby: No, Helen, I don’t think it's related really to the new commodity price environment. I think it’s more of, a little bit more of an art than a science of just, we are going to do about close to $75 million to $80 million of growth CapEx at the MLP this year. We're going to do $450 million of growth CapEx at the GP this year. We think we can do more at the MLP. I don’t think we can do $450 million at the MLP given our size today, but I think we can do some more. And just given the pace of development and the fact that a lot of these systems have add-on opportunities as we go, we do expect them, our goal is not at the GP to completely build out everything 100% and then give it and then drop it down to the MLP. I mean, so they will come down. I don’t think it’s a change in strategy. I think our strategy overall has been to drop assets down and still have development exposure to them and I think we can do more development, organic CapEx development at the MLP.
Helen Ryoo: Out of that $450 million that's going to be done at the GP level, what’s the breakdown in terms of region? How much of that will be on the Summit Utica versus Ohio JV?
Steve Newby: Yeah, let me first make the comment that, if you go back that $450 million is probably lower by about $300 million to $350 million from November to just give you a sense of what's, how the commodity pricing slowdowns occur, so it is somewhat variable. So I think, let me get the numbers. I think of the $450 million about $300 million of it is in the Utica and the balance of it is in the Bakken base case.
Helen Ryoo: And that Utica you are talking about, Summit Utica not the JV or in total?
Steve Newby: It's both Helen, so both capital we've committed to the JV to build out there and then our build out of Summit Utica as well.
Helen Ryoo: Okay, great. And then just lastly, the coverage, given this kind of, and one can argue this is a tough price environment, what kind of coverage is assumed in your base case, you know three to four times growth rate without drop down and what drop down you said you were targeting, high single digits, so how should we think about the coverage side?
Steve Newby: Yes, now this is a great question. So the 3% to 4% sort of base is coverage of call it close to 1.95 to one times coverage and then the high single digits we'd be more in the 1.1 times.
Helen Ryoo: Okay, sorry, on the base case could you repeat that, sorry about that?
Steve Newby: Yeah, close to 1.95 to 1 times coverage on that.
Helen Ryoo: Okay, great. Thank you very much.
Steve Newby: Yes, you're welcome.
Operator: Thank you. Our next question is from Jerren Holder of Goldman Sachs. Please go ahead.
Jerren Holder: Hi good morning.
Steve Newby: Hi Jerren.
Jerren Holder: Just thanks for the guidance, in particular sort of the crude oil or commodity prices that you are using. I think the $55 for oil is pretty consistent with what other commodity sensitive MLPs have sort of put out, but the $2.75 seems to be, I know is close to the spot, but it seems to be below call it $3.50 which other guys have sort of guided to. Can you talk a bit about sensitivities whether it's directly or indirectly from volumes you think whether $1 oil or $0.25 gas, any color like that if prices were higher?
Steve Newby: Yeah, I'll let Matt go through and Matt can give you some pretty specific.
Matt Harrison: As you know, we're 96% fee base, so it's not real sensitive. Just from a gas standpoint $0.50 is about half a million dollars from adjusted EBITDA standpoint for directions and from a crude oil standpoint $10 is about $1.5 million or closer to $2 million.
Jerren Holder: All right, that's very helpful, and I guess lastly, the minimum volume commitments, so those are expected to increase I guess over time. Can you guys may be provide a little bit more color about may be some assets regions that are under water that as we move forward may increase to the degree that actual volumes don’t actually increase?
Matt Harrison: So, I think I understand your question Jerren, I will answer it. Consistently in our western Colorado, you are right our legacy Grand River System, our minimum volume commitment with Encana will step up in not only rates but volumes in 2015 and we really don’t expect any drilling activity in that region. So therefore, the minimum volume commitment will increase due to the increase in MVCs as well as kind of decrease in volumes that actually bring out a system. Does that make sense?
Jerren Holder: Yes.
Steve Newby: And then also you know, the MVC, the large MVC payments on EOG that we received for 2014, we would expect to be relatively consistent in '15. And then our payments that we had talked about from a monthly standpoint from WPX and Vanguard, our legacy Grand River System $1 million to $1.5 million a month we expect to remain consistent in 2015 as well. And that's about 90% of the activity related to MVCs.
Jerren Holder: Got it. Thank you, very helpful. Thanks Jerren.
Operator: Thank you. Our next question is from Derek Walker of Bank of America. Please go ahead.
Steve Newby: Hey Derek.
Derek Walker: Hey guys, good morning guys.
Matt Harrison: Good morning.
Derek Walker: Just to go back on the MVCs there real quick. So 2015 guidance is that, does that effectively we assume throughput is really at the kind of call it the total average MVC level, which I think is like 1.2 Bcf a day?
Matt Harrison: No, it doesn’t.
Derek Walker: So, I think it's throughput from 4Q was roughly a little bit north of 80% of total throughput, but I don’t know if the revised guidance kind of brings that sort of in line with MVC level. I know there's some variability there, but just want to get a general sense of what you're assuming for the base case?
Matt Harrison: I will say in 2015 relative to what we recorded in 2014. There still is a volume decline, I mean sorry, a volume increase for the partnership on volume standpoint.
Derek Walker: Okay, so it's going to be north of the total MVC value?
Matt Harrison: Yeah, and remember, if we look at it like Antero in the Mountaineer that ramped up dramatically, right in 2014.
Derek Walker: Right.
Matt Harrison: So that's annual standpoint. The annual per day is expected to increase year-over- year.
Derek Walker: Okay, got it. Okay.
Steve Newby: Yes Derek, you know, we're above our MVCs pretty significantly at Mountaineer and a DFW, so for the most part, so you to almost got to look at it by asset.
Derek Walker: Yes, now that's fair. Okay, I appreciate it. Then just on coverage, I know you said for the base case were 0.95, 1, but do you have a general sense of what you're assuming for maintenance CapEx?
Steve Newby: Yeah, I think it’s $15 to $18 million somewhere around that range.
Matt Harrison: Yeah, our guidance is $14 million to $18 million and we haven’t adjusted that Derek, we're obviously going to evaluate that very hard as the year goes on, but we're still at $14 million to $18 million.
Derek Walker: Got it, and then just real quick as you think about the dropdowns longer term and as the MLP grows and potentially take on more developed projects arguably at higher returns versus doing dropdowns, I guess you talked the sort of high single digits for this year in distribution growth with the dropdowns, I guess how are you thinking of the longer term as the MLP does development projects, will you sort of maintain that sort of high single digit or would you expect it to increase at a low double-digit growth rate longer term?
Steve Newby: Yeah, I think in if you're looking through in this commodity price environment for the next three years, I am going to answer that two ways if I can Derek, reporting this commodity price environment you know, what we released back in November was multi-year sort of mid teens with this commodity price environment, I think you knock some of that off to probably low double digits type range over the multi years sort of guidance, but we have the benefit of having a large amount of development projects in growth embedded within the family. So that's a big luxury we have, but it will hit sort of that teens growth rates if we are in this commodity price environment. No doubt about it. So we would probably guide to more of low double-digits if that was the case over the longer term. Does that help?
Derek Walker: It does. Now I appreciate the color on the questions. Thanks guys.
Steve Newby: Thanks.
Operator: Thank you. Our next question is from Elvira Scotto of RBC Capital Markets. Please go ahead.
Steve Newby: Hey Elvira.
Elvira Scotto: Hey good morning. Can you just remind us the development projects that are at the parent, can you remind us on those projects, whether those all fee-based, if there's any MVCs on those projects?
Steve Newby: Yes. So there're all fee-based. Let's take them by area a little bit. On the gas side in the Utica, the Utica is mainly in acreage only play has been some sort of inception for the most part and so that's what some Utica and OGC is primarily and it's why we're cautious on making sure we take that risk at the GP quite frankly that the development in the ramp-up risk is taken there and then in the Bakken contracts vary. We typically have in our crude gathering deals, we typically have look back provisions that more so than volume commitments that help protect our economics over a period of a few years. So you're able to look back and adjust rates if you don't receive the amount of volume that you anticipated. And in some we have minimum volume. Our ACMP [ph] project at the Bakken is underpinned with minimum volumes as well too, so it varies up there, but typically we have some protection.
Elvira Scotto: Okay, great. And the revised guidance that you provided; is this based on the most recent discussions that you had with other producers on your system?
Steve Newby: The answer is yes and you probably noticed that most producers have waited as long as they could to come out with their own guidance. So we're the ones that issue our guidance in November, early November, so we had adjust based upon what we are hearing from our customers. So yeah, it's based upon very active conversations with all of our major customers throughout our systems and I would say look to their defense based upon their most – what their best estimates as well true to their plans. I think things are pretty dynamic.
Elvira Scotto: Okay, great. I think everything else has been answered for me. Thank you.
Steve Newby: Okay, thanks.
Operator: Thank you. And our next question is from Matt Niblack of HITE Hedge. Please go ahead.
Steve Newby: Hey, Matt.
Matt Niblack: Hi how are you?
Steve Newby: Good.
Matt Niblack: Just a question on the financing given the direction of the unit prices going, I think in the past you've talked about that GP might be interested in taking back units rather than initiating them to the public, obviously that would also save on the transaction costs. Is that something that you're thinking about fairly seriously at these levels to finance dropdowns or would you expect that even training down here you would go with the more standard public offering?
Matt Harrison: Yes, so we're still, our financing strategy still will remain to be kind of when the dust settles from a dropdown transaction our intent would be we'd probably come out about four times levered as calculated by our bank covenants and then typically the dropdown will have some growth embedded in that which was being leveraged down over time. And so, the amount of equity versus debt really isn't, is really kind of based on that, on a dropdown transaction. And then, also whether we issue actually to the market and use those cash proceeds to give to the general partner or actually issue those that agree up to the general partner I think from accretion dilution standpoint isn’t a lot different. But I will caveat that to say that our general partner still remains very supportive of the MLP and would be willing to take back equity if that was the right thing to do.
Matt Niblack: Great and to make sure I understand that correctly, you are saying in the first part of your statement that the leverage after the next dropdown at the scale that you're anticipating would be four times the before issuing equity or that's where you are targeting after all the financing?
Matt Harrison: Yeah after, definitely after the dust settles from the transaction, so after all the financings typically, so we're three to four times leveraged long term is what we've talked about with the market and that's what we continue to, how we continue to operate. And so, when after a dropdown transaction all the financing associated with it are, and on our last two deals and when you expect in the future we've ended up about four times levered.
Matt Niblack: Understood and then I guess more longer term, is there any thought of bringing the general partner public?
A - : I would say it's a little early for that given the level of development we have at the general partner. I think our sponsor is going to have to, we've been pretty clear is going to have to look at monetization of the general partner over the next several years and IPO is one of those ways, there's others as well too, but right now the focus has really been on, game is the government on and down into the MLP.
Matt Niblack: Great, well congratulations on continuing to execute in a tough environment. Thanks.
Matt Harrison: Thank you.
Steve Newby: Thanks Matt.
Operator: Thank you and we have no further questions at this time. 
Steve Newby: We appreciate everybody joining in and please follow back up with Matt or Marc or myself if you have additional questions. Have a good weekend, bye-bye.